Operator: Good morning and welcome to the Avanos Second Quarter Earnings Conference Call and Webcast. All participants will be in listen-only mode. [Operator Instructions]. After today's presentation, there will be an opportunity to ask questions. [Operator Instructions]. Please note this event is being recorded. I now would like to turn the conference over to Mr. Dave Crawford, Vice President, Investor Relations, Treasurer. Mr. Crawford the floor is yours, sir.
Dave Crawford: Good morning, everyone, and thanks for joining us. It's my pleasure to welcome you to the Avanos second quarter earnings conference call. With me this morning is Joe Woody, CEO; and Steve Voskuil, Senior Vice President and CFO. Joe will begin with a brief review of our financial performance and provide an outlook for our business and progress towards our 2018 priorities. Then Steve will review our results and offer additional detail on our financial performance and earnings outlook for 2018. We'll finish the call with Q&A. A presentation for today's call is available on the Investors section of our website, avanos.com. As a reminder, our comments today contain forward-looking statements related to the company, our expected performance, economic conditions, and our industry. No assurance can be given as to future financial results. Actual results could differ materially from those in forward-looking statements. For more information about forward-looking statements and the Risk Factors that could influence future results, please see today's press release and our prior filings with the SEC. Additionally, we will be referring to adjusted results and outlook; both exclude certain items described in this morning's press release. The press release has further information on these adjustments and reconciliations to comparable GAAP financial measures. Now, I'll turn the call over to Joe.
Joe Woody: Thanks, Dave. Good morning everyone and thank you for your first conference call since we rebranded the company as Avanos. Our new name represents advancement and moving forward. This morning I'm excited to share with you that we have continued to move forward in the second quarter. Delivering another solid set of results as a focus to medical device company. At the midpoint of the year, we're in a strong position having made significant progress towards achieving our 2018 goals. We increased sales 7% year-to-date on a constant currency basis. This strong top line performance allows for raising our full year sales planning assumption. We completed our S&IP divestiture and are on track and fulfilling our TSA commitments and finally we hosted our Inaugural Analyst and Investor Conference where we detailed the strategic framework we're executing to further drive growth, acceleration and innovation. Turning to the second quarter, we continued our strong top line momentum and commercial execution. Achieved a significant milestone towards the reimbursement of radiofrequency nerve ablation for knee procedures performed at non-acute settings. Launched the company's first direct-to-patient television advertising campaign and completed our first acquisition of 2018. Moving to Q2 results, revenue for the quarter grew 7% on a constant currency basis. Multiple factors contributed to our strong sales growth. The continued market expansion of COOLIEF generated double-digit growth in interventional pain. In chronic care, we saw strong demand in both categories. In digestive health, innovation and a focus on Mic-Key and extension sets drove sales. While in respiratory, we saw solid demand for closed suction products as well as some benefit from last year's oral care contracts. In Acute Pain, sales of our ON-Q pump continue to be impacted by two external factors. First the continuing industry wide bupivacaine shortage and second a key third party inability to fill pumps due to the findings from its FDA audit. During the quarter, we broadened our pump filling relationships and established an exclusive partnership with Leiters Enterprises. A 503B outsourcing provider as an alternative for our customers to acquire pre-filled ON-Q pain pumps. As hospitals who purchased pre-filled pumps began to add the supplier along with other third-party suppliers to their protocol. This additional capacity should help improve revenue from these customers. As a reminder about one-third of our ON-Q business is sourced through a third party pump filler including some of our largest customers. While we expect the drug supply and pre-filled disruption to continue through the remainder of 2018. We expect to see more positive momentum on our mitigating actions in 2019. Aside from these supply headwinds the fundamentals of our acute pain business remain strong. Our sales effort to deepen surgeon penetration along with physician education have demonstrated positive results as we have converted surgeons to ON-Q as planned especially in orthopedic procedures. Overall an account not affected by these external factors were on track to deliver mid single-digit growth. As surgeons and anesthesiologist seek alternatives to opioids, we're well position to meet this need with our clinically superior solution that reduces the need post-operative patients have for opioids. Despite the supply headwinds affecting our acute pain business we're raising our planning assumption for medical sales for the year. From 4% to 6% to 5% to 7%. As a result of our diversified portfolio in chronic care and pain management, we have been to not only meet but exceed our internal plans in the first half of the year. From an earning's perspective we delivered another solid quarter of adjusted diluted earnings per share of $0.48 for both continuing and discontinued operations. Through the first half of the year, we earned $1.25 of adjusted diluted earnings per share. As a result of our performance, we're raising our full year adjusted dilutive earnings per share guidance from between $1.65 to $1.85 to between $1.75 to $1.90. Clearly, we're off to a good start for the year from a financial perspective but equally important is the progress we're making on our growth investments and capital deployment. Earlier this year, I described some of the investments we would make to accelerate growth. As a pure play medical device company we now have more time and resources to invest in reimbursements, government and regulatory affairs, clinical studies and direct-to-patient marketing. For example, with regards to reimbursements government regulatory affairs, we receive confirmation that CMS will institute a separate code to cover knee procedures for radiofrequency nerve ablation in January 2020 in either acute, ambulatory surgical centers or office settings. In addition, we continue to advance clinical studies to demonstrate the competitive advantage for COOLIEF, our opioids sparing pain management therapy compared to other pain reliving therapies. These studies will not only help differentiate COOLIEF but also support our efforts to ensure appropriate reimbursement when the new code is established. Regarding direct-to-patient marketing, we've significantly increased our efforts to drive patient awareness for COOLIEF. During the quarter, we launched our first direct-to-patient television advertising campaign in six US markets to raise patient awareness of our COOLIEF therapy. We are excited about the initial response which resulted in an increase of more than four times our normal traffic to the COOLIEF website. Altogether these investments will build on the already strong sales momentum we have behind COOLIEF. Finally as you know, the deployment of capital is a top priority for Avanos and for me personally. I'm excited that we announced and closed the acquisition of Game Ready, a market leading provider of cold and compression therapy systems which enhances our already robust non-opioids pain management portfolio. This acquisition demonstrates our wide lens view on M&A as it expands our sales channels and call points within the orthopaedic and sports medicine markets. For in the early stages of integration and all is progressing as planned. Looking forward, our M&A pipeline is robust and we continue to active examine opportunities across both of our franchisees to augment our current portfolio. Given our strong performance to the first half of the year we are well positioned to continue building on our top line momentum and deploying capital to enhance shareholder value. With that I'll turn the call over to Steve.
Steve Voskuil: Thanks Joe and good morning, everyone. First let me say that it was an extremely busy quarter for the global Avanos team and I'm proud of the results we delivered. Before we go into a more detailed review of the numbers, I would like to reiterate as we've stated in our press release this morning that due to the S&IP divestiture the results of the S&IP business are treated as discontinued operations in the medical device business as continuing operations. As a result, we are required to allocate to shared costs that were previously allocated to S&IP entirely to the medical device business. These costs previously allocated to S&IP, totaled $9 million for the quarter compared to $28 million a year ago. With that Avanos delivered another strong quarter with medical device sales increasing 8% to $161 million. This represents a 7% increase on an constant currency basis driven by 5% volume growth in a favorable mix and price benefit of 2%. We continue to see strength in medical device sales across interventional pain, digestive health and respiratory health. Interventional pain continues to be our fastest growing category as we raise patients awareness through our marketing efforts and saw increased adoption. With our heightened focus on commercial execution, we also saw higher conversion from our single probe kits to multi-probe kits driven by the acceleration of knee procedures. Importantly, multi-probe kits significantly reduce the overall time a physician needs to perform the COOLIEF procedure. This shift to multi-probe kits drove a portion of our favorable failed mix given their higher selling price compared to single-probe kits. In digestive health, we saw volume growth in Mic-Key and extension sets driven by efforts to gain market share in the alternative site market. Additionally, the recent launch of the 14 French Mic-Key GJ [ph] tube helped round out our product offerings. Finally, in respiratory health, our sale forces increased emphasis on alternative sites drove strong demand for BALLARD closed suction systems including our Turbo-Clean product line which also benefited our sales mix. As planned, during the quarter we increased investments in clinical studies and market development to accelerate growth along with R&D spending to enhance our pipeline. These investments benefited top line performance and will enhance further growth. As we enter the second half of the year, we plan to increase these investments to further support our strategic priorities. As a result, medical device operating profit came in at $32 million for the quarter compared to $41 million a year ago and operating margin was 20% compared to 27% last year. The higher level of investing coupled with the expected dis-synergies from the S&IP business impacted operating margin. Adjusted EBITDA for the quarter was $36 million compared to $51 million a year ago, as results from discontinued operations this year, were only for one-month compared to the entire quarter last year. As expected, adjusted gross margin from continuing operations expanded 230 basis points compared to the prior year to 60%. Gross margins primarily benefited from the inclusion of only one month of S&IP cost allocated to continuing operations compared to three months a year ago. Going forward, we expect gross margin to continue to be in the low 60s. Adjusted net income totaled $23 million from $24 million a year ago. As Joe mentioned, we in $0.48 of adjusted diluted earnings per share this quarter. Three factors contributed to our strong performance. First, medical device sales came in at the high end of our planning assumptions. Second, SG&A spending was lower than anticipated. We expect SG&A to accelerate meaningfully in the back half of the year, as we continue to fund our growth investments in other strategic priorities. And finally, the lower than expected adjusted effective tax rate of 21.2% benefited results. Shifting to our balance sheet and cash generation, we ended the quarter in a strong financial position with $531 million of cash on hand. As previously communicated, we used $299 million of proceeds to repay our term loan, following the recent acquisition of Game Ready, we have approximately $750 million of acquisition capacity. Cash from operating activities, less capital expenditures or free cash flow was an outflow of $108 million for the quarter. The decline in free cash flow is largely attributable to classification and timing of cash flows related to the S&IP divestiture. In addition, we saw $11 million of capital spending primarily related to our new IT system. Our balance sheet remains strong and we have significant firepower to invest in future growth opportunities. Shifting to our guidance, we're increasing full year adjusted diluted earnings per share guidance from a $1.65 to $1.85 a range of $1.75 to $1.90 which includes earnings from both continuing and discontinued operations. Based on current trends, we're also updating the following planning assumptions. Due to our medical device sales performance for the first half of 2018, we are raising our full year expectation from 4% to 6%, to 5% to 7% growth on a constant currency basis. The adjusted effective tax rate is now expected to range between 23% and 25% for the year. The balance of our 2018 planning assumptions which we reaffirmed at our June 21, Analyst and Investor Conference remain unchanged. In summary, we continued our sales momentum and delivered adjusted diluted earnings per share ahead of our plan. We have a solid financial profile and are well position to continue investing in attractive growth opportunities. With that, operator we're ready to take questions.
Operator: [Operator Instructions] the first question we have will come from Matthew Mishan of KeyBanc. Please go ahead.
Matthew Mishan: Could you first talk a little bit about the strength around chronic care? I mean the first quarter seemed like there was some flu related stocking, but second quarter the momentum really continued and it seems like you're talking lot about alternative sites. Can you explain a little bit more of what you're doing there?
Joe Woody: Yes the so momentum did continue Matt. It also continued internationally for that business. remember there was about half a point or oral care, but we talked to couple of calls ago about a job ticket focused on getting better growth in alternative sites for that business, in the US outside of just the hospital settings that's proved well and also particularly on the closed suction product in particular there. So just generally across the board the chronic care business was strong and again there was a little bit of benefit in international as well from that business.
Matthew Mishan: And then price mix in the quarter was I mean stronger in the medical device than it's been historically and seemed unusual for that segment, what drove that?
Joe Woody: I'd say it was a little more mix than price. Steve may have a thing or two to say, but generally on the product side the micro cool probes we're seeing at trends itself three to do the procedure faster versus just one and a similar effect in chronic care with a shift to the Turbo-Clean product with a better mix. So it's a little early to tell these things are going to stay with us, but they were positive and I think more oriented to mix. I don't know Steve, do you want to add anything?
Steve Voskuil: Yes, I agree historically we've been up one, down one or flat kind of from price mix standpoint. This was actually the first quarter that it was a little bit more meaningful and it really was mix more than price and I think some of that's the year-over-year comparison in that equation as well.
Matthew Mishan: Okay and then lastly on the medical device margin coming in, in the low 21st because where it's been, I guess the reinvestment portion of it. As far as this synergies are you allocating more of the corporate cost specifically to that medical device line, as a result of following the acquisition [indiscernible]?
Joe Woody: No, you've kind of hit the big pieces on the margin. You've got more investment year-over-year, in fact more coming in the back half even then we had in the first half. And all around those areas we've talked about in terms of more clinical evidence, more in R&D, more COOLIEF direct-to-patient which actually it's having a meaningful impact. The impact of the dis-synergies begin to roll in at least for the two months of the quarter that we weren't together with S&IP. It will continue to see that over the course of the back half and then recalled last year, we actually had pretty low investment in the second part particularly on R&D and so you're seeing a little bit of year-over-year comp element in there as well.
Matthew Mishan: Thank you.
Operator: The next question we have will come from Jonathan Demchick of Morgan Stanley.
Jonathan Demchick: I wanted to follow-up on Matt's question about that margins and really just kind of thinking how it trends more into the back half of the year. I think if you back out the S&IP allocation this year, you get somewhere around like 15.5% operating margins. It sounds like obviously an extra month of dis-synergies, this is going to happen or a couple extra, one extra month of dis-synergies as well as increased investments. So I mean is it safe to say, that 15.5% kind of from this quarter is probably the high point for the balance of the year and that you probably be expecting something closer to 15% in the back half and you start allocating more of the cost in, is that a fair kind of pro forma based kind of start thinking about the cost savings that are [indiscernible] build in 2019.
Steve Voskuil: Yes I don't know if I can get that specific John. In terms of laying it out by quarter, but what I would say, I mean the key seems I think you're hitting on it right we're going to have more that investment spending, hitting in the back half. We're going to have a little bit of more to call it full quarter as you said of dis-synergies rolling in. and we will see some improvement against the dis-synergies overtime, we're not going to see as much in the back half as we're going to see in 2019 and certainly beyond as we talked about in the investor conference and so I think that's kind of the way we're looking at it for the balance of the year.
Joe Woody: And John this is Joe Woody. I would add this is temporary related to the divestiture, if you look historically at the medical devices business we've been accelerating, improving the margin and we'll get back to that I believe into 2019 and those investments though, you've seen the top line performance they're paying off there's probably even more we can do so that's why we're continuing to invest alongside of working on the dis-synergies.
Jonathan Demchick: Understood, just following up I guess [indiscernible] little bit on the earning line guidance. It was still pretty wide I think it about 10% range really between the top and the bottom. I mean should we think the main kind of bridges that get you to both of edges of that is really on the dis-synergy side investment side of things. Is there anything else that we should really be factoring in?
Steve Voskuil: I think that's the big piece the dis-synergies and investment side. I'd say we're also as we talked about on the call letting the acute pain business play out in the back half, we certainly saw some impact at first quarter. We probably saw little more impact in the second quarter from that business and I think in fact the third quarter may even have a bit more and so it's really a combination of that SG&A OpEx piece combined with a little bit of hedging for the top line recovery in acute pain.
Jonathan Demchick: Great and then one follow on just on chronic care. I think Matt touched upon this, but it really has been doing very well in the first half of the year. Sounds like the alternative sites is been really a big driver there. Should we be rethinking the just general growth trajectory of this business with some of these investments? I mean I think I've generally thought of these businesses as being more of a low-to-mid single-digit grower. It's been close to double digits to the first half. I mean what is the correct trajectory to really be thinking about on this business.
Joe Woody: I think the long-term trajectory is more mid. I think the opportunities though and with the right time we would call it change would be Core Pack [ph] on an international level and the same with this change now with [indiscernible] leading the international business and we saw a little bit of a benefit already and it's only just starting. Though there were some distributing movements in that for the quarter, the two things would be the international business, the continued double-digit growth of Core Pack [ph], so mid solid, mid single obviously and then, but those other two areas could push it up a little bit.
Steve Voskuil: And you'll see in the back half, that Oral Care contract, which is not a big add, but it's been adding for the last, over the last year, that will soften now as we kind of start [indiscernible] clearly they're doing great, but as Joe said it, it's probably hitting it little bit over its average here.
Jonathan Demchick: Understood. Thank you very much.
Operator: The next question we have will come from Ravi Mishra of Berenberg Capital Markets.
Ravi Mishra: So I've a couple of if I could squeeze in, hopefully a number of questions, try not to take too many. But I wanted to start with that chronic care segment. Would you mind quantifying that oral care benefit? I think last quarter you said something around 200 basis points to the combination of flu and oral care, could you maybe parse that out for this quarter. and then for the interventional pain business I'm curios on that CMS comment that you made regarding the 2020 RF nerve ablation code that sounds pretty exciting and it sounds like it's geared towards specifically towards COOLIEF, could you help us understand the classification of that code, is that CPT1, 2, 3 code or how does that change the reimbursement dynamic? And I guess I'll have a couple of follow ups on guidance after this? Thanks.
Joe Woody: Ravi, this is Joe on oral care for the total business is about half a point, but for the chronic care business it's about point in the current quarter. We are excited about the reimbursement. The reimbursement for the knee treatment of osteoarthritis of the knee for the code will actually be for both RF and COOLIEF, but as you know we've been doing a study on COOLIEF versus HA we've already done along corticosteroids, we're going to initiate one against RF and try to prove a longer duration and even a year of the pain release. I think we're well positioned even though it's a code for all areas and then it does open up, the change to get in a much larger market. So it's very key going forward in 2020 and we're definitely excited about it.
Ravi Mishra: Great and then maybe just on the guidance. I'm just curios in terms of your volume commentary that 5% growth coming I think it was against 3% comp last year. Any sort of commentary on breaking it down between US and O-US. Are we looking at same kind of 5% in both markets or how's that changing and just curios in terms of what your view is on the overall utilization environment that you see in your businesses? And then just maybe one last one on guidance. On the top line is there any change to the FX assumption that you had in your revenue guide and it's if not or if so, what will that be?
Joe Woody: Steve will handle the currency side of it, but the volumes were a little bit higher in international than we normally would have seen and that's I think the beginning some of the success we'll see, although there was a bit of distributor movement and so they've moved up across the board with the exception really of acute pain, so Steve you want to handle the currency?
Steve Voskuil: Yes, it's not currency that we saw the quarter slight benefit and I'm on the top line, we don't think for the year it's going to be that meaningful, so it's not a big factor going forward.
Ravi Mishra: Great. Thank you.
Operator: Next we have Chris Cooley of Stephens.
Chris Cooley: Congrats on your first quarters of pure-play and devices. Just maybe two from me at this point. Could you help us parse out a little bit more on the quarter, when you look to growth and as we didn't find this in the second half of the year? Maybe kind of semi-quantifying the headwind you have on the ON-Q relative to the incremental growth that you're seeing with COOLIEF. And would really be interested in that latter part if you could drill down a little bit more in terms of whether you're just seeing broader utilization, more volume within existing user just trying to help better you get handle on that growth that we're seeing that product line, then I've got a quick follow-up.
Joe Woody: Okay, Chris. I'll say a couple of things and then Steve's welcome to join in as well, but generally in the quarter we had COOLIEF continue double-digit, we talked about respiratory alternative site and in digestive health, we had an innovation impact where we had a launch and these are all areas where the volume is increasing and there was a little bit of mix benefit in respiratory. In terms of IVP and COOLIEF, it's a combination of new sites through capital sales but also getting great pull through in the script we talked about the direct-to-patient advertising that we put in place, seeing four times that kind of [indiscernible] really that we've seen in the past and it does take a couple of months to get those patients in processed into the [indiscernible], but that was all positive and the other thing. Is that we've seen a small balance in international. I think with the [indiscernible] direct management and putting a focus on commercial there. The quarter frankly could have been better volume wise, by as much as two points better. If we were dealing with the bupivacaine, ropivacaine supply and pre-fill issue around Q pain. We're cautiously watching that because we did see a little bit of slight worsening of that from Q1 to Q2 and Steve mentioned three could be tougher and then oral care is going to back off hence we're not ready to go much further in raising really until we get through 2019 and really understand acute pain, although the underlying business in acute pain. Whether or not affective by the drug shortage or pre-fill are growing high single-digit and we're happy with that. We're also converting a lot of orthopedic surgeons well over 100 with our specifics, but Steve [indiscernible].
Steve Voskuil: The only thing I would add is, overall utilization industry, utilization probably not a bigger factor Joe said our focus is more on utilization getting our procedure more widely adopted overcoming barrier, overcoming some of the near term challenges in the acute pain side of the business. So less about those, then about overall utilization.
Chris Cooley: Right and then my just two quick follow ups, could you just remind us your kind of expectations for the contribution from Game Ready here in the back half of the year with the close now. Basically in the full quarter early run rate as we think about the back half and then lastly from an M&A perspective $750 million in capacity. I know you want to consolidate and maybe get down, to maybe just a couple of IT systems. Ideally one, before you find a new one but to help us think about maybe potential timing for additional M&A as you think of that's really more of a 2019 event or is there's still some potential here in the back half of 2018.
Joe Woody: So I'll handle M&A and Game Ready. I mean Game Ready we've talked about $35 million in sales last year and so we're going to get half the year of benefits and it's growing slightly better than our business and so that's a positive thing and the pipeline is really strong in M&A and we continue to work, you can never time these things out. It is possible though that we could see another deal before the close of the year and we're working toward that goal.
Steve Voskuil: Game Ready from an earnings contribution side, we really haven't factored anything for the back half this year.
Chris Cooley: Thank you.
Operator: [Operator Instructions] the next question we'll have will come from Larry Keusch of Raymond James. Please go ahead sir.
Larry Keusch: Just a couple of quick things here. Joe just maybe talk a little bit about the visibility that you have on the [indiscernible] challenge that you have in front of you right now.
Joe Woody: There was an industry-wide shortage, there was a big article in Fortune Magazine. I think a lot of people have read about what's going on there and it looks like, toward the end of the year it could look to get a little bit better. We just probably have a little bit more of a positive outlook for 2019. We did announce our partnership with Leiters, an exclusive relationship to give us way to diversify with other pump fillers and so we think that's going to start to benefit us, towards the middle of the found quarter, that issue around it is that, GPOs and IDMs and the pharmacies themselves and hospitals have to go out and validate the site. They have changed in all their process to switch over, so it takes a little of time, we have a much better longer strategic plan around how to shore up our supply so that this doesn't happen to us in the future. But there's heavy focus by the FDA on 503B's and this bupivacaine, ropivacaine or caines [ph] if you will shortages really real and there's some really bad situations with hospitals that they're facing. That said, the underlying business is strong which is and I'm happy that we've got a stronger portfolio with better commercial execution to be able to whether this. And so we think that, as we get into next year we're going to be able to put that growth back on the table.
Larry Keusch: Okay, perfect and did I hear you correctly that you said for the 2Q, there was if not for the bupivacaine issues with ON-Q the volume would have been 200 basis points higher?
Joe Woody: Yes we would have been looking at more like a 9% growth versus 7%.
Larry Keusch: Okay, got you terrific and then two last ones. Just back to the margin, the 20% margin for the quarter. Is that the right way to kind of think about it for back half of the year, that's kind of what we're going to be running at? And the other question is for Steve, what if my math is right, the tax rate that you - even with the lower tax rate imply a higher tax rate for the second half of the year, what drives that up?
Steve Voskuil: Yes, maybe I'll take those in reverse order. The tax piece, we've benefited we had sort of lucky strike in the second quarter. The new tax law allows for accelerated benefit when stock options are exercised and we just happened to have two senior former executive that executed a significant amount of options in the second quarter, so we got a sort of one-time benefit in the Q2 tax rate that kind of brought the whole water line down for the year. So you're right we're - that won't be sustainable at that level in Q3 and Q4. We expect Q3 and Q4 to look more like 25% in that range and that really leads the math to the guidance update that we did on the tax rate. From a margin standpoint, Larry I think you're thinking about it. I say the right way, that's the right starting point against that 20% we're going to have more investment in the back half versus the first half on those growth investments that we referenced and you'll - have little bit more dis-synergy two months in Q3 versus full quarters in the back half. So all else equal it will be I'd expect it to be down a little bit versus the 20% that we had here.
Larry Keusch: Okay, perfect. Thank you very much.
Operator: [Operator Instructions] next we have a follow-up from Matthew Mishan of KeyBanc.
Matthew Mishan: Steve, I think we talked about the med device margins, how should we be thinking about the corporate cost run rate going forward? I think originally there was $9 million in there and it was a $20 million number. What's the right run rate for the corporate cost as we kind of model out 3Q and 4Q?
Steve Voskuil: On the order historically the corporate cost have been as high as 70%, 75% probably our run rate for this year as we look to the back half it's more like a 605 kind of range.
Matthew Mishan: And on the bupivacaine shortage, how does that impact the competitive landscape as far as Pacira goes. It doesn't seem there's fair impact, it seems like they're gaining momentum. Are you at a disadvantage to them at this point as a result of this?
Joe Woody: I think you see some in some cases hospitals that are looking at long, acting locals, looking at really solutions they can get to. But lot of the success I think Pacira is seeing right now from the shoulder indication and the focus they have in that area. When we inspect our business on a weekly basis, we're not seeing a lot of major account turn and we're kind of focused a little bit in a different area and a different way with the types of procedures we're on ON-Q pump. It's better suited for the patient titration, the management of the pain and getting [indiscernible] somebody who have total need within 24 hours without following or problems that might, sometimes be associated with long lasting local. So I think there's as I've said in the past, there'll be a lot of different long last locals coming into the market. Other pump fillers, but this is a $4 million problem that is low penetrated. So I think we'll be able to carve out our unique position in that area.
Matthew Mishan: And then also, outside of the reimbursement for the RF procedure in the knee. I think there's also been some recent CMS proposals to reduce these opioids at least a couple of weeks ago and I think there was some specific mention of medical devices in there as well. Could you comment on what you're seeing [indiscernible] recent proposals and how it could affect you?
Joe Woody: That Bill has gone through the house, he's working his way through the Senate and essentially it's going to provide an opportunity for medical device makers, not just us but really all those associated with devices they can relieve pain versus opioids to get better reimbursements at different sites outside of even just hospital and possibly an education component to it, for physicians when they educate patients. That said, it will be a little bit like this the knee code which the CMS teams will have about a year and half or two years probably it would work with the med device makers on how to make that happen. But there will be a pushing effort if you will from the legislations to CMS to really after this. And so there could be benefits for anybody in the pain business.
Matthew Mishan: Thank you.
Operator: Well at this time we're showing no further questions. We'll go ahead and conclude our question-and-answer session. I would now like to turn the conference call back over to Mr. Joe Woody for any closing remarks. Sir?
Joe Woody: I'd like to just thank everyone for their interest in Avanos. We're very pleased with our momentum in the first half of the year and very excited to build on this as we take advantage of the very attractive opportunities we have ahead. Thank you very much.
Operator: And we thank you sir and to the rest of the management team for your time all for today. Again the conference call is now concluded, at this time you may disconnect your lines. Thank you everyone. Take care and have a great day.